Operator: Welcome the Callon Petroleum Company's Second Quarter 2021 Results and Operating Outlook Webcast. All participants will be in listen-only mode. As a reminder, this call is being webcast and a replay of the call will be archived on the company's website for approximately one year. I would like to turn the call over to Mark Brewer, Director of Investor Relations for opening remarks. Please go ahead, sir.
Mark Brewer: Thank you very much, Nick. Good morning and thank you for taking the time to join our conference call this morning. With me are Joe Gatto, President and Chief Executive Officer; Dr. Jeff Balmer, Senior Vice President and Chief Operating Officer; and Kevin Haggard Senior Vice President and Chief Financial Officer. During our prepared remarks, we'll be referencing the earnings result presentation along with the Delaware Basin acquisition presentation, both of which are posted yesterday afternoon to our website. So, I encourage everyone to download the presentations if you haven't already. You can find the slides on our Events and Presentations page located within the Investors section of our website at www.callon.com. Before we begin, we'd like to remind everyone to review our cautionary statements disclaimers and important disclosures included on Slide 2 of the earnings presentations and Slide 2 and 3 of the acquisition presentation. We'll make some forward-looking statements during today's call that refer to estimates and plans. Actual results could differ materially due to the factors noted on these slides and in our periodic SEC filings. We'll also refer to some non-GAAP financial measures today, which we believe help to facilitate comparisons across periods and with our peers. For any non-GAAP measures we reference we provide a reconciliation to the nearest corresponding GAAP measure. You may find these reconciliations in the appendix to the earnings presentation slides in our earnings press release, both of which are available on our website. Following our prepared remarks, we'll open the call for Q&A related to both the quarterly results and our announced acquisition. At this point, I'd like to turn the call over to Joe Gatto.
Joe Gatto: Thanks, Mark. Glad to have everyone join us for today's call. As Mark mentioned, yesterday we have announced the results from another very solid quarter along with the next step forward in advancing our stated strategic initiatives. The agreement to acquire the Primexx properties in the Southern Delaware Basin consolidates a high-quality asset base into our efficient life of field scale development model and increases our oil cut in the basin. The consistent execution of lowering our capital and operating costs and delivering repeatable well results in the Delaware over the last three years makes us a logical addition to our core Delaware footprint. And we anticipate delivering similar performance and synergies across the expanded position of 110,000 net acres. This proven ability to capture value through the application of our operational model and knowledge base creates upside for a transaction, but all re-screens is accretive across all metrics and is valued at attractive multiples relative to comparable recent deals. In addition to the strategic merits, we realized substantial financial benefits through a more robust free cash flow outlook and lower capital reinvestment rates that will complement the day one deleveraging impact of the acquisition from the addition of almost 20,000 BOE per day of production and the equity component of the consideration paid. Along with the acquisition of Primexx assets, we have agreed with Kimmeridge Energy for the exchange of approximately $200 million over 9% second lien senior notes in the common shares, which will occur after the closing of the Primexx transaction. This will require shareholder approval to issue incremental shares to a party that currently owns over 5% of our shares and we've already secured approximately 30% of the majority vote required. Once complete, this additional step forward will reduce our cash interest expense, lower absolute total debt and senior secured debt balances and improve our leverage statistics. Importantly, the combination of the exchange in the acquisition deliver a tremendous positive financial impact, while also driving accretion across all key per share metrics. In the interest of having plenty of time for Q&A, we are going to forgo our normal process of walking through each of the earnings slides and speak to the higher level points for the second quarter and layer in additional information around the acquisition beyond what is in the presentation materials and press release. During the second quarter, our performance against plan was spot on with capital production, operating expenses in G&A all tracking in line to better than expected. A relatively high level of completion activity throughout the second quarter heads us off to a great start in July with volumes increasing nearly 10% from June and our oil cut climbing as well. We are planning to run approximately 3.5 rigs on our legacy acreage in the second half of the year, as we position operations for a strong hand off into 2022. Based upon an expected early fourth quarter close of the acquisition, we will fold in the activity from the current two rig program being executed by Primexx later this year. Second quarter cash margins continue to improve as the hedges that were required - that we required to enter into 2020 continue to roll off. The addition of the Primexx assets will further bolster the oil contents of our current Permian production and broader development in the Delaware, supporting strong operating cash margins and contributing to an increase in total corporate cash margins. I'll touch on our ESG efforts and highlights from our recently issued Sustainability Report before turning things over to Jeff for a discussion of operations. 2020 was a year of tremendous progress, making significant strides forward on emissions flaring in safety. Some select examples of our initiatives include working with outside vendors to improve compressor run times, reducing back pressure on the gathering systems, securing alternative uptake options for natural gas as a contingency in the event of a significant third party facility constraint; and an increase in our water recycling efforts, which will further benefit from the Primexx infrastructure base that will more than double our daily recycling capacity. This will not only have a positive impact on our cost structure, but will also reduce the potential burden on local water resources as well. Now going to turn things over to Jeff to discuss our current operations and offer some insights on the Primexx acquisition.
Jeff Balmer: Good morning everyone and thank you, Joe. As Joe mentioned, we had a really solid operational quarter. Our drilling team has continued to hold the line on costs in the outstanding drilling efficiency achieved for instance in the Eagle Ford during the first half of the year is very much on par with our 2020 stats. In the Midland Basin, we've seen significant improvement and more importantly have been able to carry over the lowerings from Howard County to our position in Midland County. In the Delaware Basin, we continue to make progress on drilling lateral footage per day in both Reeves and Ward County. This consistent improvement coupled with the rapid progress we're seeing on the completion side has us very excited about the future of our Delaware opportunities. The second quarter was incredibly busy with completions and as previously mentioned it materialized in a significant bump in production we were seeing in July. With two full-time crews, an e-frac pad and one other spot crew we were able to complete and turn to production 47 new wells. Costs have continued to remain in check while we push for even better efficiency stats. Again the Delaware has been an area where we're making tremendous strides with efficiency climbing every quarter and costs continuing to drop. From the third quarter of 2019 until now, we've seen an almost 70% improvement in footage per day. Those gains along with an improved pricing environment have lowered the cost per lateral foot more than 50%. Those advancements have clearly improved the future value of our Delaware asset base. And as we take those learnings and couple them with the best practices of the Primexx team continue refine and adjust our approach, we expect to produce even better wells with very high capital efficiency. And speaking specifically about the acquisition, the current well results and manner in which the Primexx team has begun developing the acreage really places us in a very enviable position. We have the opportunity to step into an infrastructure advantaged highly contiguous position that has robust oily results throughout the acreage. And importantly, we have the associated data to feed into our subsurface models, which has helped us map out the 300 plus core locations that immediately compete for capital in our development program. This is high quality inventory and I'm speaking specifically about limiting it just to the primary zone. So there is other zones available. But the primary zones have clear proof of development and repeatable results. Equally as important is the ability to continue focusing on larger capital efficient long lateral development projects. So with roughly 85% of these core locations at 1.5 mile to 2 mile laterals, we can keep the cost per lateral foot low as we shift more of our activity over to the Delaware. After our combination with Carrizo, we set out to uncover and exploit every available opportunity to improve our operations, lower costs and ensure predictability of our development results and I think you've seen that very clearly. Our team is already looking to leverage our advanced understanding of spacing and stacking, implement our geologic and geo-mechanical models to optimize targeting and fracture geometry in these larger pad developments and of course optimize facilities to reduce potential downtime and flaring. And of course it also doesn't hurt to have a few extra rigs and completion teams running when we're talking to our vendor partners. I'm going to turn things over to Kevin to discuss financials around the quarter and the transaction.
Kevin Haggard: Thanks Jeff. It looks like I've got a quite a bit to cover on my first quarterly call with Callon. As both Joe and Jeff have discussed these assets fit exceptionally well with our growing Delaware position and I had the opportunity to leverage our development approach across a more robust asset base. Equally important are the expected enhanced financial outcomes of both the acquisition and the impending equity conversion of the second lien notes. We have consistently said that any acquisition must advance our strategic priorities. As we show on the acquisition slide deck, we believe this combination checks all those boxes. Our ability to deleverage the balance sheet at an accelerated pace through enhanced free cash flow has been one of the core focal points for our team. Even at our more conservative planning deck, this acquisition should allow us to be meaningfully ahead of our current expectations by year-end 2022. Operating cash flow, free cash flow, free cash flow per share and free cash flow yield should all improve inclusive of the effect of the equity issued with the second lien conversion. This transaction is despite that we believe benefits both our equity and debt investors. Late in June, we accessed the high yield capital markets for an oversubscribed upsized and well received 7-year, $650 million senior unsecured notes issuance. We use the proceeds from this to fully redeem $543 million of our senior notes mature in 2023 and reduced borrowings under the RBL. After that transaction, we received upgrades from both Moody's and S&P based on our improved financial position and visibility to further deleveraging over time. We now possess the opportunity to advance that deleveraging timetable and in turn continue to lower our overall corporate cost of capital. With this acquisition, we are prudently moving to secure the associated cash flow and protect against any near-term commodity market weakness. In the past few weeks, we have added hedges for 2022 oil, including 8,000 barrels of costless WTI Collar positions at approximately 60 by 70 and supplemented these with 4500 barrels per day of swaps at approximately 66-50. With this recent hedging activity, we are approaching historical year-end hedge levels in terms of percentages, which ensures we are on the path to delivering on our promise of an improved balance sheet. With current strip prices for 2022 hovering around 65 per barrel for WTI, we have made significant progress in securing our conservative planning case price assumptions, but maintaining significant upside if the current strip price proves accurate. And finally, speaking to the financing of the Primexx acquisition, we will be paying $440 million in cash. This is an amount we can place on the credit facility and pay down with free cash flow and divestiture proceeds. However, we will look to the capital markets to see if there are opportunities to term out a portion of these cash needs, allowing us to continue focusing on increasing liquidity and extending our maturity runway. At this point, I'd like to turn the call back over to Joe.
Joe Gatto: Thanks Kevin. I'll wrap up with a couple of quick comments here. We spent the past several quarters working to re-establish an attractive value proposition for both our equity and debt investors with consistent execution in prudent financial action. Our second quarter performance once again delivered on our commitment to capital efficient operations in an improved free cash flow outlook that is sustainable over time. With the Primexx acquisition, we will put that model of execution to work on a complimentary Delaware asset base that will elevate the value proposition for our shareholders through an expanded inventory for repeatable investment, several opportunities for operational synergy capture and immediate deleveraging that will only accelerate from here with increased free cash flow on an absolute and per share basis. And with that, operator, I think we are ready to open up for Q&A.
Operator: [Operator Instructions] First question comes from Scott Hanold, RBC Capital Markets. Please go ahead.
Scott Hanold: Congrats on the acquisition. It looks like a lot of heavy lifting day to get this to where it is now. Just a high level kind of question and observation obviously when you look at this in the map, the acreage is more in the southern part of the Delaware and when - we just do a kind of a pull of just well data, it seems a little bit more mixed, obviously what we see is not necessarily the answer too, the quality of what you got? Can you - but can you speak to - specifically those 300 wells, how confident - what gives you confidence that they compete in your inventory and if you just could clarify, is that most of that stuff just Wolfcamp A and B and can you maybe give us a bit of a mix of that?
Jeff Balmer: Absolutely, this is Jeff Balmer. You're exactly right it's primarily Wolfcamp A and Wolfcamp B. The acreage - becomes a little more complicated from a seismic perspective and other things, but again the Primexx team has been an outstanding very diligent and prudent operator and how they've approached things. And so, the data that's been gathered, the initial development program, the initial thoughts on spacing and stacking are solid. So when we come in and roll this acreage acquisition into our own inventory analysis for all the wells that we have - all the way down to contingent basis, it measures up extremely well. And while normally you will have some well variability on an individual well results and that's to be expected. That distribution is going to be very heavily weighted to strong performing wells and if you roll that again into our very robust full scale development philosophy of trying to get everything when you're out there, rightsizing facilities, eliminating flaring those kinds of things, it's an excellent acquisition.
Joe Gatto: Yes Scott as follow-on with that. What we've seen over time with their program, with modifying completion designs and reducing profit and water loading just like we've done has improved over time. As you mentioned the Wolfcamp A and B are the value proposition here weighted to the Wolfcamp A and while it is a large contiguous footprint, it's not like we're saying - across the whole footprint, we're going to have both of those zones. We've spent a lot of time being very bespoke in picking stick. So there is some parts of it that won't have two zones and we did have an opportunity - to lever obviously, our regional knowledge, but also some of the seismic data as we are doing diligence here and incorporating that onto our learnings. But we see some of the well results that we put in to the deck are very strong, very oil the biased obviously increases our Delaware oil production, which is great. I mean as Jeff, said something we don't see very often in these asset packages that it’s one-off test. There is a fair amount of co-development test that were put in place in A&D and that helped inform a lot of our type curves. So it just not working off our parent curves that you can rest them down appropriately, but even then since they've developed it in a way that's, really in line with how we think about it, 75% of our locations are parent wells. So that's again something we usually don't see at this point of the cycle in the Permian.
Scott Hanold: And as you look forward and when you start thinking about 2022, I understand it's going to obviously be too early to kind of delve into that too much, but conceptually I guess, this will be sort of a question maybe with a double question here? But is the development plan going forward with this asset to sort of maintain the mix again say three to four wells on legacy Callon acreage and a couple on this acreage? And so, what is the plan going forward. How do you do the mix between legacy stuff and this stuff? And then also, do you guys see the ability to use your expertise to enhance what they've already done?
Joe Gatto: Yes, let me start with the development philosophy and let Jeff talk about enhancing completion designs and maybe some other synergy topics there. But from a development standpoint, look this becomes part of our broader Delaware operation, right. It's going to get folded in. We have benefits between moving crude across the entire footprint. But as we look at this, this is an asset that is going to compete for capital, is additive across our inventory profile. So by definition, it's going to get its fair share of capital based on the reinvestment rates that we've talked about. So we've talked about 65%, 75% corporate level reinvestment rate. That's about what's going to go into this asset base. But importantly is going to benefit from the broader Delaware integration. So, I think I mentioned in the prepared remarks, we're going to pick up a 2-rig program. Follow through on some of the things that they've been working on. And then it will sort of morph into the broader Callon profile. But if you look at Page 15 in our appendix shows about $250 million plus increase in EBITDA from our standalone scenario at $60 oil. CapEx, if you look at the implied CapEx, free and operating cash flow and free cash flow goes up by $150 million somewhere in that 60% type of ballpark it's going this incremental asset. So I'll turn it to Jeff, may he talk a little bit about how we're going to make this better.
Jeff Balmer: And the best thing about it is very similar to what Carrizo and Callon were able to do is to take two extremely efficient motivated and intelligent operations teams and companies as a whole. And you take best practices and ideas and creativity and when we're looking at the individual development programs, we work things on a pad-by-pad basis. Obviously there is some regional similarities that come into play. But taking a look at spacing and stacking trying to take into account existing wells, geology, petro-physics, how you propagate fracs, water infrastructure and takeaway capacity you have, we've been extremely successful in lowering the amount of water and having these wonderful hybrid fracs that even within an individual well, we can modify the design within an individual well. So, we anticipate learning a lot from what's already been done and combining that with the things that we've been successful with. So I'm very confident that this is a good net.
Operator: Thank you. The next question is from Neal Dingmann of Truist. Please go ahead.
Neal Dingmann: Yes sir, you hear me.
Joe Gatto: Yes Neal - you cut out, if you could start at the beginning, you got cut out when you first start your question.
Neal Dingmann: Sorry, I was just wondering, Joe, you'd mentioned 3.5 rigs on the prior and then two rigs on the new. I'm just wondering when you kind of look at the plan going forward in order to you had obviously prior to the deal, and I think even now probably including the deal pretty nice free cash flow plan, will that include then 5.5 rigs? And let me just stop there I mean, could you give us an idea of kind of once that's combined what you're kind of thinking as far as rig and frac activity?
Joe Gatto: Yes, we're going to run independent calendar independent would run about 3.5 rigs. So for the back half of it, right now Primexx has two existing rigs that are taking care of some obligations and some delineation within the acreage. So the short-term plan is to continue that combination of that. We feel very strongly about the back end of the year from a free cash flow and overall capital performance. So that kind of remains unchanged. Again it across the board it's a really good fit. So our initial program will be relatively straightforward of just a linear combination of both companies.
Neal Dingmann: Okay. And then just one last one, just kind of double, if I could on the deal assumption, it certainly appears that given the cash flow or the production that you're picking up, you could see on your free cash flow. I guess sort of forecast, but I'm wondering based on kind of the way you guys even everybody was running the numbers, does that assume you do something with the 440 that's put on the revolver and then I'm just wondering on that and the Kimmeridge deal, is there any sort of lock up? Thank you.
Kevin Haggard: Yes, this is Kevin. Thanks, Neal. So on the 440, the assumption right now is that we will put that on the revolver, and opportunistically look for potential capital markets opportunities to maybe term some of that out, but we do feel very comfortable putting that on the RBL and be able to pay down that through a combination of free cash flow coming quarters as well as other potential divestitures in our program.
Joe Gatto: In terms of Kimmeridge, they do not have a lock-up similar to where they stand today. But the Primexx selling shareholders that will receive stock and Callon you have a lock-up.
Operator: Thank you. Next question is from Derrick Whitfield with Stifel. Please go ahead.
Derrick Whitfield: Good morning to all and congrats on your update an accretive transaction.
Joe Gatto: Thanks Derrick.
Derrick Whitfield: Perhaps for Joe at a high level, could you comment on how this acquisition opportunity came together?
Joe Gatto: Yes, I guess I'll go back in time, this is actually an opportunity that I discussed with Primexx going back three or four years ago, sort of a similar type of a concept in terms of an equity type of driven transaction as we're both growing companies at that point and saw some benefits as we were establishing our position in the Delaware, things didn't work out at that point, but certainly kept an eye on how they are progressing as Jeff said, made a lot of progress. So I think it's a matter of staying in touch over the years as obviously helpful and building those types of relationships. But we have been looking for opportunities, and we've been very clear about this, can we find opportunities to bring in great assets that will continue to drive the value proposition for Callon as well as align them with great financial outcomes, and we've looked at several things that didn't match that been diagram. This is one that did and overlay that relationship and that dialog and sellers that saw a great opportunity to take back stock in the combined entity and things come together, these aren't easy to put together. So it's been many months of work to do this, but hopefully it gives you flavor how this all came to fruition.
Derrick Whitfield: That's great. And then as my follow-up, I wanted to focus on the midstream side of the acquisition. So with regard to Carrizo, could you speak to the value assigned to this in your acquisition price and comment on the opportunity you see to increased third-party volumes?
Joe Gatto: Yes. I can't specifically address the value assigned, certainly there was value assigned and now maybe talk about what this is, there is a good footprint of gas gathering and gas lift services that this provides to the wells both us and our working interest partners, there is a field gas supply component that delivers field gas, the drilling rigs, frac crews, so there's some really good savings there versus diesel and also reduce our emissions, fresh water supply as goes on water wells, frac ponds, water distribution pipelines, about 100,000 barrels of water capacity, that's where there is certainly some third-party revenues there, that's pretty decent, we're going to look to potentially build on that. As you know we've been way ahead of the game on water and managing that the right way over the last few years, we've built on a water recycling business in the Delaware. This is going to more than double that. So we're going to look for opportunities now, but there is no specific number that I can give you. There is a value proposition here not only today, but potential to build on that going forward.
Derrick Whitfield: Very helpful and great update on acquisition.
Joe Gatto: Thank you.
Operator: Thank you. And the next question comes from Phillips Johnston of Capital One. Please go ahead.
Phillips Johnston: Thanks and congrats from me as well. It sounds like you're assuming a two-rig program on the Primexx asset throughout all of next year for about $150 million or so CapEx, just wanted to ask, how many gross in that wells that assumes for next year, and is that a maintenance type of program or is there a little bit of sort of growth exit to exit?
Joe Gatto: Yes, Phillips, there is a little bit of growth, I mean it's fairly modest. We talked about over the 2021 to 2023 type of timeframe looking at 4-ish 5% type of growth over that time frame on a compound annual growth basis, but there'll be a little bit of a growth in '22 obviously when you get these integrated further optimize the plan from here. In terms of gross and nets, I don't think we're in position to provide that until we really pin down at the formal budget. We feel great about what we put out there, I'm hopeful we can do even a little bit better, that's out there, but that might mean moving some wells around and that might change the growth in that. So I don't want to put a marker out there that might change.
Phillips Johnston: Yes, okay. And then, Joe, you guys have digested this deal, do you think you will be actively seeking additional deals like this that can also move the needle and provide some accretion on free cash flow, leverage ratio in some of the other metrics?
Joe Gatto: I don't think that active - necessarily the word, I think in a world that is going to be characterized by continued consolidation in my opinion, it's just part of the business, and day-to-day we will continue to look at opportunities that we can find similar situations where we can add great assets, overlay our expertise and knowledge base, deliver synergies make them better, deliver those types of operational results, plus financial outcomes that are going to further our deleveraging plans, get us further down the path to being squarely below two times, get us in a position to be thinking about how we potentially return capital to shareholders. I wouldn't say that's active or passive. I think it's just part of what we do every day as an operator and what everyone should be doing in a world that's going to continue to consolidate.
Operator: [Operator Instructions] Next question comes from Gabe Daoud, Cowen. Please go ahead.
Gabe Daoud: Good morning guys, and congrats on the two transactions here. I was hoping, Joe maybe we could just touch on how the pro forma asset base stands from a divestiture standpoint or divestiture standpoint moving forward, whether it's continued sales of non-core upstream or now that you're obviously much bigger on the mid-stream side, does that open up more opportunities for mid-stream - potential mid-stream JV? Just any thoughts around divestitures going forward would be helpful.
Joe Gatto: Sure. Well, as you know we're active on that front as we speak with a few processes going on that we hope to bring some closure to the not-too-distant future. The A&D market certainly got better, pretty low bar I guess to judge against. But it is getting better, things take a little bit more time than what we've experienced historically. So we're making sure that we invest in entire group. In my mind, we're going to take this, the results from those processes and digest. Right. What's the right asset for this type of a market, go back through the combined footprint, see if there is additional opportunities. We're focused on getting to our goal that we've put out there for this year first, but we will continue to assess other pruning opportunities and I think with the transaction like this, it's a natural catalyst to take a step back and say, what else can we do beyond what we had on our radar screen before with the new combined footprint with capital priorities and allocation, maybe there is some additional assets from a working interest standpoint that could be put in the mix later this year or next year. On the midstream side. Yes, it's a pretty big boost to our midstream presence in asset base. We're evaluating some of those alternatives that may be enhanced in terms of divestitures or JVs or some of the things that we've talked about. We've to just got to get this to the finish line and start thinking about maybe there is a path forward on a broader midstream monetization or structure, but is still too early for that.
Gabe Daoud: Got it, thanks Joe that's helpful. And then just as a follow-up in the press release, you had mentioned the acquisition could accelerate capital return to shareholders. Just curious how you think about that against where the balance sheet is today. And is there a net debt target that you want to get to or an absolute debt target that you need to hit, just curious how those two play out moving forward as well?
Mark Brewer: Thanks Gabe, I'll start with this and I will turn it over to Kevin to talk about maybe some of the financial parameters. Right now, I think we have a clear value proposition. We have a phenomenal enterprise value proposition for shareholders, in the near term it's taking some of that value from debt-holders putting the equity - holder’s pockets from paying down debt. So I think it's very clear and this only accelerates that mandate that we've had in terms of how we're delivering shareholder value in the near term. But we are thinking about, okay, with this type of free cash flow generation on this new platform is substantial and I think our leverage starts moving down dramatically and maybe, Kevin, you want, talk a little bit how we think about decisions?
Kevin Haggard: Yes, so I think the key part of the press release is the rest of that sentence, which is before reaching less than two times net debt. There's probably not a discussion about this at this point. The point is this transaction helps bring forward the timetable by which we reach that less than two times net debt metric. I would say overall our goals are still focused on that balance sheet, reducing overall debt levels, increasing maturity runway, giving ourselves more liquidity, reducing overall interest burden. We're still very much targeted on those elements. We do like the fact that out of the gate pro forma Q2 this takes us down almost a half a turn or more of leverage and by the end of 2022 on planning prices, this takes us down about 0.4 turns. So this dramatically improves our leverage profile and accelerates the timetable by which we can actually talk about those shareholder returns.
Operator: Thank you. And the next question is from David Heikkinen, Pickering Energy Partners. Please go ahead.
Joe Gatto: David?
David Heikkinen: [technical difficulty] like any margins done and definitely takes a lot of time. Appreciate that…
Joe Gatto: Sorry David, we missed the first part of your question, you cut out.
David Heikkinen: No worries. Just congratulating on getting mergers done - I'm sure it’s a lot of work. When we are looking at your parent wells on the assets, it looks like cum are little better than what you all have had historically and more full-field development. Can you talk about as you take these assets in the full development, should we expect kind of a 10% or 20% less cum then what the initial wells have been as we pull public data or what should we expect?
Joe Gatto: Yes, I'm not going to be tied down to a percentage, because of course there will be a distribution. Anytime you come out to more of a Greenfield area, and you have a handful of parent wells or you're not competing for hydrocarbons, generally speaking, you're going to see higher initial EUR from some of those early wells and we would expect some modest degradation over that over time. And so, I think that that's a very fair statement. The nice thing about it is, sometimes geologic complexity can work in your favor for instance if - there are some areas of Callon's existing acreage where there may be a possibility of some lower zones where you don't necessarily have to get them right away and you can come back later, because they're not geologically connected to the wells above them. I'm not saying that's the case here with the Primexx acreage, but you will see very, very strong returns and very, very strong capital efficiency throughout the whole robust development program that we're going to - again springboard off of what's already in the ground. So, I would anticipate strong results across the board.
David Heikkinen: And then we are pulling and getting like a mid '30s base decline on a BOE basis is that reasonable if we just take them and let them let the existing PDP decline?
Joe Gatto: That's right. Yes I think that - especially if you take a well that's kind of revealed itself and is dropped into pseudo steady state flow. It is going to be what it's going to if you go in and you enable it up in properly you'll change that quite a big on the wrong way. But I think we've proven that our programs that we put in place around surrounding wells are again very profitable.
David Heikkinen: Yes that's helpful. Thank you.
Joe Gatto: Thanks, David.
Operator: Thank you. The next question is a follow-up from Scott Hanold, RBC Capital Markets. Please go ahead.
Scott Hanold: Yes, thanks for bearing with me for one more here. Just a quick question, obviously guys, your sustainability report out I think a week ago that showed some pretty, pretty stark dramatic improvements as you kind of pull together, Callon and Carizzo and obviously take your breath the best practices? Now, when you step back and look at these assets you're getting with Primexx. How does this fit into the ESG story. Is there - do you have an idea of like where they are relative to your current asset base?
Jeff Balmer: We do it and of course [indiscernible] and the discovery when we physically have an opportunity to integrate the assets and get out there. But I think more importantly, the philosophy that Primexx has is very complementary to where Callon is, existing relative to. I mean, you look at a relatively small operation as 80,000 barrels of water recycling capacity that's outstanding. If you look at some of the opportunities and growth that the industry has and that frankly Callon and Primexx will have relative to our reduction in flaring recordable incident rate, prevention of an acknowledgment that the combined practices of both companies and it can improve ESG or in particular safety and emissions across the board. Again, I think from a cultural fit it's exemplary, so I would anticipate that to continue.
Mark Brewer: And Scott I think you know said in other way, sort of in line with what we've put out there in terms of our goals on flaring volumes in GHG emissions this asset base is completely aligned with that. As we evaluate not only Primexx, but did other acquisitions. This is a key criteria right we're going through our diligence. This is a big part of how we look at asset basis. So there's always work to do to get improvements as Jeff talked about with our Primexx our own asset base. But overall, this isn't going to knock us off any of our goals and hopefully even get us in a position to do better.
Scott Hanold: Got it, got it. Okay. So, at least as good and hopefully overtime continue dump path are getting better.
Mark Brewer: That's fair statement, yes.
Scott Hanold: Thank you.
Operator: Thank you [Operator Instructions] This concludes our question-and-answer session. Now I'd like to turn the conference back over to Mr. Joe Gatto, President and CEO for closing remarks.
Joe Gatto: Thank you for that, and thanks everyone for joining, it’s an exciting day here, some good discussion, good questions, obviously reach out if anymore. We've put a lot of information out there, little later than we had hoped last night, but we're around to answer questions and we look forward to updating you in a few months on the progress, on the acquisition and just our operations with Callon. Thanks again.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.